Operator: Thank you for joining Thunderbird Entertainment Group's Fiscal 2023 Q2 Results Call. Glen Akselrod from Bristol Capital will read the forward-looking statements.
Glen Akselrod: Thank you for joining us everybody. We are here to provide a corporate update and report on Thunderbird Entertainment Group's fiscal 2023 Q2 results which ended December 31, 2022. Speaking on today's call are Ms. Jennifer Twiner McCarron, Thunderbird's CEO; and Ms. Barb Harwood, Thunderbird's CFO. Ms. McCarron will provide a strategic overview of Thunderbird Entertainment Group and Ms. Harwood will review the company's Q2 2023 financials. Following the corporate update and financial review, the call will open for a question-and-answer session.  Alternatively, if you'd like to have any questions, you can call 1-604-683-3555 or e-mail investors@thunderbird.tv and the company will follow-up directly after the call.  I'd like to remind everyone that certain statements made on today's call will be forward-looking and constitute forward-looking statements or forward-looking information under the applicable securities laws. Forward-looking statements and information discussed on this conference call include but are not limited to, statements with respect to commencing a strategic analysis, the success of certain productions, anticipated adjustments to EBITDA, the robustness of the production development slate, projections regarding adding 143 million new subscriptions this year, timing for announcing a broadcast partner for the tokidki series, the future potential of the current production, the company's objectives, goals or future plans, the likelihood the company will continue to get bigger and better, the business and operations of the company. Forward-looking statements are necessarily based on a number of estimates and assumptions, that, while considered reasonable, are subject to known and unknown risks, uncertainties and other factors which may cause actual results and future events to differ materially from those expressed or implied by such forward-looking statements. Such factors include but are not limited to, general business, economic and social uncertainties, litigation, legislative, environmental and other judicial, regulatory, political and competitive developments and those additional risks set out in the company's management discussion and analysis for the years ended June 30, 2022 and 2021, filed October 19, 2022 and other public documents filed on SEDAR at www.sedar.com. Although the company believes that the assumptions and factors used in preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements which only apply as of the date of this presentation and no assurance can be given that such events will occur in the disclosed timeframes or at all. Except where required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. For your convenience, the MD&A, the unaudited financial statements for Q2, 2023 which ended December 31, 2022 and the related news release are filed on SEDAR and are available online under the Investors section of our website. We do not expect to update forward-looking statements continually as conditions change. This conference call is being webcast live and the archive will be available on the company's website at www.thunderbird.tv following today's call. Please note that Thunderbird reports in Canadian dollars unless otherwise stated. Ms. McCarron will now provide the corporate update.
Jennifer Twiner McCarron: Thank you so much, Glen. My name is Jennifer Twiner McCarron and I am the CEO and Chair of Thunderbird Entertainment Group. On behalf of the company, I'd like to thank you for joining today's call to discuss our Q2, 2023 results which ended December 31, 2022. Thunderbird's CFO, Barb Harwood, is with me and we appreciate you joining us. Once Barb and I are finished, we will be happy to answer all questions. I'll start today by welcoming new Directors Asha Daniere and Mark Trachuk to our Board. I am beyond excited to work with them and look forward to their input along with previous valued Board members, Azim Jamal, Jerome Levy and Linda Michaelson. As previously announced, we are moving forward with a formal exploration of strategic alternatives for Thunderbird that will both capitalize on the significant value of our premium quality content and identify key opportunities for delivering sustainable long-term growth. As we embark upon this process, the Board is committed to working closely together alongside our outside advisers to conduct a comprehensive evaluation of opportunities while maintaining a focus on maximizing value to Thunderbird's shareholders. I am confident that this important strategic review will position Thunderbird on the best possible trajectory to achieving our goal of becoming the next major global content studio. We are pleased that the proxy contest is behind us and to be moving forward as an independent Board working for all stakeholders. Today, I will talk about Thunderbird's bright future and share high-level visibility into the remainder of the year as well as into fiscal '24 and '25. I will also provide the Q2 corporate update. From my vantage point, there continues to be many exciting productions and announcements on the horizon. For example, we're making huge strides forward with our IP strategy and recently started production on the first 26th 1/2-hour episode of the season of the children's series Mermicornos which is inspired by tokidoki's hit toy brand of the same name. This is company IP and we are working in partnership with tokidoki. We look forward to sharing our broadcast partners for the series and more details about this amazing production in the coming months. We also have many forthcoming announcements that we are equally excited to share with merchandise and consumer products opportunities. Add to this that our teams attended Realscreen and Kidscreen just recently and many new pieces of IP were pitched and met with great excitement. Honestly, we've had more movement with our IP success in the last 6 months than at any other time in our company history. The future of Thunderbird is so bright. However, our short-term numbers will reflect business uncertainty stemming from the proxy contest as well as associated expenses. This is coupled with overall shifts within the industry as major players, many of whom are our clients and buyers, work to balance their businesses in the new era of streaming. As a result, time frames for several of our productions have shifted from fiscal year '23 to fiscal year '24 and '25. While all of this work remains with Thunderbird and we have not lost any planned work, the second half of fiscal year '23 is no longer expected to be our strongest. We are currently anticipating adjusted EBITDA to be down for fiscal year '23 compared to fiscal year '22. This is not the outcome we had initially anticipated. However, it is important to note that our pipeline remains extremely strong with a range of diverse content and Thunderbird is incredibly well positioned for the future. Books growth in '24 and '25 is incredibly robust and we anticipate sizable double-digit growth in adjusted EBITDA which includes several owned IP productions with adjacent merchandise opportunities coming to fruition. Gross margin also improves in fiscal year '24 and '25 which impacts both positive and negative, including but not limited to overall economic recovery, cutting factors from reversal of production delays of fiscal '23, pay-offs from fiscal '22, '23 build year initiatives and IP timing of production and deliveries. Barb will discuss the numbers in more detail in a moment. And during the Q&A, we're happy to answer all of your questions. For those following the industry closely, 2023 is being described as a year of industry-wide cooling. Uncertainty is impacting many areas of the industry. And after experiencing unprecedented rates of growth during the pandemic, streaming growth has slowed. While this is true, it's also important to note that subscriptions are still increasing and the industry is still experiencing growth. Omdia is projecting the addition of 143 million new subscriptions this year in the U.S. alone which is a mature SVOD market. And there will almost be 40 million new SVOD subscriptions worldwide. And if we take a deeper dive by region and streamer, we see incredible growth taking place overseas, with Europe, Middle East and Africa becoming Netflix's biggest regions with 76.7 million subscribers, overtopping U.S. and Canada. This is an incredible opportunity for our company. To retain and grow subscriptions even at the adjusted pace, the major streaming companies will require quality content. So the need for quality content hasn't changed and the demand for premium work remains extremely strong. That's where Thunderbird comes in with the company's trusted relationship and stellar reputation for delivering A++ content. Buyers are looking for premium projects across the board. Take Disney, for example. Disney's cutting cost and restructuring. CEO Bob Iger stated these decisions were made to return creativity to the center of the company, increase accountability, improve results and ensure the quality of content and experiences. Iger underscored the importance of streaming to Disney's future and further highlighted that Disney's focus will be more on family and children's entertainment, pulling back from generic general audience programming. Disney's business decisions create more opportunity for Thunderbird. They will be producing less work internally and will be partnering more with companies like ours to handle everything from start to finish which fits nicely with our partner managed pipeline. Add to this that working in Canada provides great tax credits, making high-end productions more affordable. Streaming is here to stay and the shifts in the industry offer more opportunity for Thunderbird to shine and do what we do best. By keeping our focus on quality as our North Star, Thunderbird will remain in great stead. And I can confidently share our talented teams are more dedicated than ever and doubling down to produce the quality content we are renowned for so we can continue to be the studio of choice. And our quality content is being recognized on many levels and in different ways. Reginald the Vampire, our fully owned scripted series, Ned from Spider-Man, Jacob Batalon, was recently renewed for Season 2 by SyFy. Deadman's Curse, an unscripted global production following 4 explorers as they search for gold, ranked as 1 of the top 10 of Canadian original series across specialty television this fall. Pinecone & Pony which is based on the best-selling author Kate Beaton children's book, was recently nominated for a 2023 GLAAD Media Award in the Outstanding Children's Programming category. And Princess Power, an animated series inspired by Savannah Guthrie and Ali Oppenheim's New York Times bestselling children's book, launched on Netflix worldwide, receiving significant media coverage. In the days following its premier, it ranked number 8 on the Netflix kids chart in the U.S. Thunderbird has also received 9 nominations from the Canadian Screen Awards from Dr. Savannah: Wild Rose Vet for best life style program or series, to Pinecone & Pony for best direction, animation, to Styled for Best Host, Lifestyle, Nicole Babb and Caffery Vanhorne. And our company also continues to turn heads. Business in Vancouver recently recognized Atomic with a BC Export Award in the digital and media entertainment category. Our COO, Sarah Nathanson, is a nominee for the YWCA Women of Distinction Award for her commitment to identifying new initiatives to strategically support Thunderbird's growth, including a robust environment, social and governance action plan. And Thunderbird was listed this week as one of 2023 TSX-V top 50 performing companies. This is just a snapshot of the team's successes. I could not be more proud of every single employee. Every project that is renewed, every partnership that is solidified, every award that we receive, all of these reaffirm our belief that Thunderbird is the best at what we do. I'm excited to share more updates after Barb has presented the financial update. Thank you so much and over to you, Barb.
Barb Harwood: Thanks Jen and good morning and afternoon to everybody. Thanks for joining us. The company recognized revenue of $48 million and $91.7 million in the 3 and 6 months ended December 31, 2022, as compared to $33 million and $68 million over the comparative period, increases of 45% and 35%. Production Services revenue for the 3 and 6 months ended December 31, 2022, was $33 million and $62 million, increases of 8% and 13% over the comparative period due to an increase in the number and size of contracts. Projects with significant revenues during the quarter include Princess Power, Marvel's Spidey and His Amazing Friends, My Little Pony and CoComelon Lane. Licensing and distribution revenue from Thunderbird's owned IP was $15.4 million and $29.4 million for the 3 and 6 months ended December 31, 2022, increases of $12.6 million and $16.6 million over the comparative period. The increases were mainly due to the recognition of the scripted series Reginald the Vampire, Strays Season 2 and 24 episodes of the 3 unscripted series After the Storm, Mud Mountain Haulers Season 2 and Highway Thru Hell Season 11 in the current quarter. In the comparative quarter, 7 episodes of the unscripted series Highway Thru Hell Season 10 were delivered. Adjusted EBITDA was $4.3 million and $8.4 million for the 3 and 6 months ended December 31, 2022, as compared to $5 million and $11.3 million for the comparative period in the prior year. The decrease is predominantly attributable to an increase in direct costs and G&A over the prior period. With talent at a premium, the company continued to invest in new hires and talent retention during fiscal 2023 in areas such as Kids and Family, scripted development, distribution and business affairs. Additionally, the company invested in software and technology upgrades due to the increased headcount and to improve production processes and create production efficiencies. And finally, free cash flow decreased by $8.6 million to $7.8 million and $7.7 million to $12.2 million for the 3 and 6 months ended December 31 as compared to $16.4 million and $19.9 million for the comparative period. The decrease is primarily due to positive changes in working capital, partially offset by repayment of interim production financing. And now back to Jen.
Jennifer Twiner McCarron: Thanks so much, Barb. As of December 31, the company had 26 programs in various stages of production for 18 clients. Of the 26 programs in production, 8 were Thunderbird IP and 18 were service production. Two of the service productions are partner managed, where the productions are fully funded and ancillary rights are controlled by the partner but entirely managed by Thunderbird. As a result, Thunderbird is entitled to receive a percentage of the profits from merchandise and licensing. One production is a global IP buyout, where the production was originally auctioned by the company, then acquired by the partner, with Thunderbird receiving an increased percentage of net profits from merchandise and licensing as a result. At the end of Q2, 2023, the company was in various stages of production on 18 animated series. These animated series include Oddballs for Netflix, Night at the Museum for Disney+, CoComelon Lane for Moonbug and Netflix, Young Love for Sony and HBO Max, Teenage Euthanasia Season 2 for Adult Swim, My Little Pony for eOne and Hasbro and Princess Power for Netflix just to list a few. Princess Power, our global IP buyout that Atomic did develop with Ali Oppenheim and Savannah Guthrie and Drew Barrymore's Flower Films, launched on Netflix in the subsequent quarter. The series received incredible buzz with coverage appearing in outlets like People, TODAY, Nightly News Kids, Entertainment Tonight and The Drew Barrymore Show. The potential reach of digital publicity from online post exceeded 32.9 million views. Shifting focus, the company was in production on 6 unscripted series and 1 documentary: Highway Thru Hell Season 12, Heavy Rescue 401 Season 7, Mud Mountain Haulers Season 3, Deadman's Curse Season 2, Styled Season 2, Dr. Savannah Wild Rose Vet, Season 2 and After the Storm, a documentary based on the 2021 flooding in B.C. which premiered on December 15, 2022. Great Pacific Media was also in production on Boot Camp, a new scripted production, for which it acquired the film and television rights. The film adaptation stars Drew Ray Tanner from Riverdale and is based on the popular Wattpad story by Gina Musa of the same name. In fiscal 2023, Q2 and subsequent to the quarter, we are continuing to execute on the company's long-term growth strategy. We launched a scripted team which is based in Los Angeles, with 5 scripted projects representing an array of New York Times best-selling book and award-winning authors at various stages in the development pipeline. Producing scripted series presents another opportunity for our company to be the studio of choice for buyers, delivering top quality content. This expanded focus combined with the team's incredible talent and work ethic further strengthens Thunderbird's already strong position. Our teams are comprised of the top people in the industry and at a time when many businesses are unfortunately struggling with keeping talent and they're bringing in work. We are very proud to have 1 of the highest retention rates in the industry. Often, our artists would rather wait until we have new opportunities and take breaks between contracts instead of joining other studios, because of our focus on team and an artist-driven working environment. This is 1 of the utmost importance, because this allows Thunderbird to continue delivering outstanding results, further maximizing opportunities that will take us 1 more step closer to becoming the next major global studio. In addition to the impressive slate of productions we have in the pipeline and our extraordinary team -- we're also at the forefront of areas of increasing relevance and importance. Through our storytelling, we are prioritizing content with important messages that reflect a spectrum of voices and perspective. And that is not just good for business it is what will help take us to the next level. Now, Barb and I will be pleased to take all of your questions. Thank you so much.
Operator:  Our first question is from the line of Aravinda Galappatthige with Canaccord.
Aravinda Galappatthige: Good to talk to you guys. Obviously, a lot going on with Thunderbird, I have a few questions. I'll maybe start at sort of the strategic level, Jen so, maybe just with respect to the strategic review. Can you just talk to how you can kind of think about this alongside maybe M&A opportunities or acquisition opportunities? Is it a case of just running through that strategic review and obviously going where you want to go with that? And then once that's done, if you want to stay sort of a stand-alone company or a public stand-alone company, then you start to look at M&A -- are both parts kind of running in parallel, just wanted to get some clarity around that. Maybe I'll just start there?
Jennifer Twiner McCarron: Yes, it's a great question, Aravinda. We've put a pause on pursuing M&A activity at this time as we commence the strategic review. We are in the process right now as a Board deciding on the right bank to work with us with the overarching goal of maximizing shareholder value. As you know, this can take on so many forms. So we will choose our partner and then work with that partner through recommendations in terms of what is the best path forward for Thunderbird. We've had incredible growth. We are well known as the industry darling, not because of me but because of the amazing teams and the work that is happening. And so, we're really coming together as a team to take that third-party opinion once we solidify that and then go forward with whatever recommendation that may be which maybe stay the course, do M&A -- there's so many different forms that we could merge, we could sell, we could go private. What we really want to do is just keep an eye for all of our valued shareholders, what can we do to best maximize value. We know the future is incredibly bright here and we are incredibly well positioned as a company of choice.
Aravinda Galappatthige: Great, that's pretty good clarity. And with respect to guidance or sort of the guide that you provided with respect to the rest of the year, should we think of this work that was sort of pushed out the delays? Is that mostly on the buyer side? Is some of it on Thunderbird side? How should we think of that dynamic?
Jennifer Twiner McCarron: Yes, I think there is several things. We haven't lost work. We've just had it shift into '24 and '25. And we've also turned on more IP which increases the overall long-term value of the company but we can't recognize that EBITDA until we deliver. So the IP announcements will support that. There was a hesitation in terms of how: how will the proxy fight end? Who is the ownership? Maybe we'll just pause and see." Everybody is very pleased with the outcome. All of our buyers are very happy with where the company is at but -- this happened over the holidays, the New Year and of course, our year-end is June. So some work has led to '24. It's not indicative of the health of the company. It's just a shift of timing.
Aravinda Galappatthige: Okay, great. And maybe a couple of questions for Barb on the financial side obviously, the gross margins have tightened both in Q1 and Q2 year-over-year, naturally because of sort of the higher IP component that we're starting to see year-over-year as well. How should we think of that mix for the second half of the year? I mean if you think about last year, for the first half, it was almost 30% this year, first half, it was something like 22%. Just trying to get a sense -- I know the number jumps around a lot. So how should we think about the second half, both in terms of IP and service and then obviously gross margins -- I know the 2 are linked?
Barb Harwood: Yes, thanks for that question. As you do know and as you pointed out, IP tends to jump around depending on what kind of projects we do. When we start to do the larger scripted shows, our margin tends to come down because those revenue dollars are so high. And we'll continue to see that through the rest of '23 and margins should improve in '24 and '25 as we have more IP to put out there and we don't have that sort of one-off situation that we have sort of with Reginald the Vampire in '23. And then, production services revenue continues to kind of be stable across the company, across the periods. It typically, in '23, it's been a little bit lower than '22. And that's because in the past 3 quarters, as we've talked about, we've continued to invest in talent and put forth future initiatives, such as building our IP pipeline and bolstering our CP and distribution division, things like that, where we won't see the results of that until '24 and '25.
Aravinda Galappatthige: Okay. And last question from me. On the G&A, obviously, it hit a kind of a higher number than we had seen in the past, getting close upon $7 million on a quarterly basis. Is that sort of the base we should think about as we kind of forecast forward?
Barb Harwood: Yes, I would think so because as I mentioned, the -- our new initiatives sort of got put into place in Q4 and ramped up through Q4 and Q1 of 2023; so that ends those.
Operator: Our next question comes from the line of David McFadgen with Cormack Securities.
David McFadgen: A couple of questions, so when you talk about your expectation now for EBITDA to be down in fiscal '23, can you give us an idea of the order of magnitude? Would it be less than 10% or would it be in that 10% to 20% range?
Jennifer Twiner McCarron: I think we need to evaluate because things are always moving. The reality is that even though we didn't lose work, it shifted we're now having more work come into fiscal year '23. So we're constantly improving upon it. I just wanted to condition the market, because I had noted in my last call that the second half of the year would be the strongest. But then when we had -- work paused due to some uncertainty and move in to '24, I wanted to be clear managing those expectations. With regards to magnitude, we're getting good news almost every day as a result of trips to kid screen and rail screen. So we may be able to give more clear guidance in Q3, David, as we see all the new work that we're bringing into the latter half of this fiscal. Hello, hi.
David McFadgen: Jen, can you hear me?
Jennifer Twiner McCarron: I can hear you now, yes.
David McFadgen: Okay, sorry.
Jennifer Twiner McCarron: You kind of cut out there, David. First, did you hear my explanation.
David McFadgen: I did. I did.
Jennifer Twiner McCarron: Okay, good.
David McFadgen: So is it 1 project that's being pushed out? Are there several projects being pushed out? Is it 1 buyer or is it several buyers?
Jennifer Twiner McCarron: It was 2 projects, 2 different buyers.
David McFadgen: 2 projects, 2 different buyers; okay.
Jennifer Twiner McCarron: That's why it's right.
David McFadgen: Yes, okay. And you're not seeing any slowdown in demand from those 2 buyers, right? It's just pure timing?
Jennifer Twiner McCarron: No, no I've actually seen ramp-up in demand from those 2 buyers. It was just -- everyone was kind of waiting to -- people are nervous in general, with the economy and what some of the shifts internally at the big buyers. So there's already that level of uncertainty so for 1 of their key partners to be kind of going through a proxy fight where anything can happen, could management change, could -- be sold right away to somebody else. All of these things, when people are already going, so, we're going to be really careful spending our money, it causes people to take pause. Luckily, we didn't lose any work. It just pushed it into '24.
David McFadgen: Right, okay. Okay that's it for me.
Jennifer Twiner McCarron: Thanks, David.
Operator: Thank you. There are no additional questions waiting at this time. This concludes our call today. If you have any questions, please call +1-604-683-3555 or e-mail investors@thunderbird.tv. Thank you.